Operator: Good day and thank you for standing by. Welcome to the IsoPlexis Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Carrie Mendivil with Investor Relations. Please go ahead.
Carrie Mendivil: Thank you. Earlier today, IsoPlexis released financial results for the quarter ended September 30, 2022. If you've not received this news release, or if you'd like to be added to the company's distribution list, please send an e-mail to investors@isoplexis.com. Joining me today from IsoPlexis is Sean Mackay, Chief Executive Officer; and John Strahley, Chief Financial Officer. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements in the press release IsoPlexis issued today. For a more complete list and description, please see the Risk Factors section of our Annual Report on Form 10-K filed on March 30, 2022, and in our other filings with the Securities and Exchange Commission. Except as required by law, IsoPlexis disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast, November 10, 2022. With that, I'd like to turn the call over to Sean.
Sean Mackay: Thanks, Carrie. Good morning, and thank you, everyone, for joining us for our third quarter 2022 earnings call. On today's call, I will provide an update on some of the operational, commercial and development progress we've made to lay the foundation to lead the single-cell and blood-based bulk proteomic space with a focus on achieving profitable, sustainable growth. Then I will turn the call over to John for a closer look at our financial results and outlook for the remainder of 2022. Revenue in the third quarter was $4.5 million, up 7% from the prior year, and reduced operating expenses down 37% from the first quarter of this year, given our commitment to conserving cash. While difficult, our team proved resilient and responsive to increasing customer demand despite the challenging macro environment, specifically around difficult access in China and inflationary pressures in Europe. At the same time, IsoPlexis' IsoCode has established itself as a recognized authority in assessing proteomic cytokine signatures from single-cells. Voice of customer and existing early access users are getting increasingly excited that IsoSpark will be able to offer both single-cell IsoCode and the dynamic bulk serum CodePlex Q chips on the same system. Together, these solutions create critical value to our lab customers in an affordable lab system to save the custom of time, labor and provides differentiated full signature immune data. The two-in-one solution provides a dynamic duo unmatched on any other protein analysis system. We'll start today with expense control and cash conservation since that's been a critical focus. While John will cover in greater depth, the team found a way to deliver growth at the same time as we reduced operating expenditure by 37% and the total workforce by 40% from Q1. This is testament to the resilience and hard work of the team and continued commitment to collaborating with our customers to find solutions. We appreciate all our team has done to make this happen. The shift also demonstrates our commitment to a path to generating positive EBITDA over the coming quarters. We still have further expenses to reduce to align with the realities in the capital markets environment, which will enable us to conserve cash at this critical time. Looking more closely at our customer during the third quarter, we sold 23 instruments, bringing our total units sold to 277 instruments, providing increased base for our recurring revenue consumable pull-through as well as the service contracts associated with our systems from which we saw an uptick in Q3. 35% of the units sold in Q3 and 25% of the total instrument purchases to-date are from customers who have bought multiple instruments. We also now have instruments placed in 79% of comprehensive cancer centers in the United States and our IsoCode products, and in the early stages, our CodePlex products, are building momentum in playing a key role in a translational medicine ecosystem. For the large swath of immunology researchers fighting cancer, our IsoCode helps eliminate a critical bias on the ELISpot and flow intracellular cytokine systems, namely the fact that they can only search for a limited or popular number of well-known cytokines which may not be the critical one for quality immune response. This critical limitation has set back researchers for years not only in finding potent cell therapies in antibody drugs, but also in creating potent vaccines against difficult targets. IsoCode solves for this bias by providing the full cytokine signature for immune cell, detecting critical and unique aspects of what is termed in the field, a quality immune response, for the first time. Here we highlight some of our hard-working customers who are leveraging our full signature, quality immune response with recent customer publications. Washington University in St. Louis highlights the importance of enhancing what is the long-term goal of every cell therapy persists through the addition of a novel genetically engineered interleukin-7. In the journal Nature Communications, IsoCode provided a, "quantitative marker of CAR-T functionality to confirm that the modified IL-7 induces robust cell expansion without compromising functional potency." The full signature on IsoCode uniquely reveals these critical aspects of cell therapy response. On the other end of the development spectrum, Lonza, leading contract manufacturer, who press released a collaboration with IsoPlexis in 2021, highlights the impact of large immune signature, polyfunctional T cells and functional cell behavior detected on our platform as a vital functional characteristic for allogeneic product development and for manufacturing. This is published in Frontiers in Medical Technology. While our IsoCode is recognized in the fast-growing cell therapy world as a critical solution, we view the translational cancer immunology market as key to our growth. We have placed multiple units in many of the top pharma focused on cancer immunology and have been featured in a variety of leading and large studies for checkpoint inhibitor therapeutics. Yet our pharma customers have pointed to our increase in cell throughput and surface markers per cell is critical for further expansion. That product offering will be available in 2023, and our customers believe it to be an unlocking event for the next-generation of IsoCode expansion in multi-cell type analysis of, "full signature quality immune response." This is critical to us proliferating with many units serving translational medicine at each of these pharmas. Our product development team is still on track to release CodePlex Q in Q1 of 2023, which will be a game changer for the value proposition for IsoSpark customers. We tested and verified the early access CodePlex with our customers, and the core value proposition of the product alone is strong. Fully walk away, yet sensitive and quantitative, large signature bulk readouts are unique to IsoPlexis and necessary to the reality labs face today more than ever. Our customers tend to ask two core questions with their proteomic systems. How are the immune cells performing? High quality, aberrant or not. And what are the quantitative proteins circulating in the blood indicating on the overall response? High concentration, low concentration and quantitated. In revealing the large immune signature, what IsoCode is for cells, CodePlex Q is for blood. The same large signature is necessary in the blood to avoid the bias of focusing on too few proteins. And yet, customers have a critical challenge facing them. Any quantitative proteomic technology that leverages gold standard ELISA for large signature multiplexing, i.e., not an NGS-based solution, has a really expert-oriented difficult-to-use workflow that takes full days of hands-on time. We couldn't predict that the pandemic would change labor as we know it, but it has. And labs are finding it difficult to retain trained talent. CodePlex Q is for those labs -- much like our IsoCode detects quality immune response, in our CodePlex Q, Q starts with quality, quantitative and quick. Both products have a fundamental commitment to quality to our customers. CodePlex Q is high throughput and completely walkaway. Labs can pipette and go with no training required. Our co-founders came up with the original signature for our proteomic barcoding system, which leverage many protein analytes directly from a small amount of blood, able to be leveraged by any clinical lab. CodePlex Q is the productization of that vision. Furthermore, we conducted a 302-person survey of mostly existing blood bulk protein users and flow cytometry users. 46% of the survey takers found the CodePlex solution very compelling. They all also pointed to what we see as obvious. They would pay much more for a system that delivered both the IsoCode and CodePlex Q in one system than they would pay for a system that offered either one or the other. We are very excited for our users to leverage both products in one IsoSpark instrument to equip their lab, top quality data covering large signature, single-cell and bulk protein solutions at a reasonable cost. Users like the Shanghai Institute of Hematology, which demonstrated with our CodePlex system that the cytokine IL-7 enhanced persistent anti-tumor immune response in cell therapies as published in scientific reports. The answer to similar questions, now from the angle of the blood that the WashU team highlighted for our single-cell solution. While Duomic is slated for release in late 2023, it is operated by a very small team at this point, we have made critical progress on increasing the matched barcode throughput to enable a greater number of cells that have both gene expression and the proteome readout. Customers still send us many requests for this product, and we're still aiming for a 2023 offering at the end of the year. And Duomic will also be run on the IsoSpark, driving further value to our customers on one system. Finally, I want to welcome Homi Shamir as a member of our Board of Directors. Homi most recently served as the Chair and Chief Executive Officer of Luminex Corporation from 2014 through its sale to DiaSorin in 2021. We will use his insights into scaling large businesses in the life science, diagnostic and device fields will be invaluable as we take the next stage of our journey. I will now turn the call over to John for more detail on our financials.
John Strahley: Thanks, Sean. Total revenue for the third quarter of 2022 was $4.5 million, up 7% from $4.2 million in the prior year period. We are encouraged by the progress we have made following our reorganization and have started to see the impact of these changes. Product revenue was $3.6 million, an 8% decrease compared to $3.9 million in the prior year quarter. Our commercial team sold 23 instruments, bringing the total number of instruments sold to 277. Notably, this was our highest quarter of consumable revenue, and we are encouraged by the continual usage we are seeing from our customers. Service revenue for the third quarter was $851,000 compared to $303,000 for the prior year quarter, driven by two items: an increase in our sample-as-a-service business and a significant increase in the number of service contracts sold to customers, which is another recurring revenue stream. We recently partnered with MediMergent and The Center for Cancer and Blood Disorders. We have started processing samples and generating revenue, and we are actively working on this contract throughout Q4 and into 2023. Regarding service contracts, as our existing installed base matures; we are focused on continuing to increase our take rate of contracts that is the percentage of the installed instrument base paying for service contracts. Gross profit for the third quarter of 2022 was $2.3 million compared to $2 million in the same period of 2021. Gross margin was 50% in the third quarter compared to 47% during the third quarter of 2021. As we expand and leverage our installed base of instruments, with consumables contributing increasingly higher percentage of our total revenue, we continue to expect total gross margin to reach the mid-60% range in the near-term and eventually settling into the mid-70% range. We also expect the launch of CodePlex Q to be a positive contributor to gross margin in the second half of 2023. Total operating expenses were $19.2 million for the third quarter, representing a 12% decrease over the prior year and a 27% reduction from the second quarter of 2022. This includes restructuring expenses of $574,000 in the third quarter of 2022 and $3.7 million in the second quarter. In line with what we discussed in the second quarter about our reorganization, we have reduced our operating expenses by $11.5 million, resulting in a 37% reduction in OpEx from the first quarter of the year. As we have previously discussed, we expect our quarterly operating expenses to be about $17 million by the end of this year, bringing our full-year 2022 operating expenses, excluding restructuring charges, to be in the $90 million range. This includes approximately $9 million of non-cash expense for depreciation and amortization and stock-based compensation. Our net loss was $18.5 million for the third quarter of 2022 compared to $20.2 million in the third quarter of 2021. We ended the quarter with $53 million in cash on the balance sheet. We believe that the cash we have on hand now, coupled with our continuing strategic initiatives, provides us with cash runway into mid-2024. Turning to our revenue outlook for the full-year 2022. Given our performance year-to-date, along with the current macro environment, we now expect annual revenue growth for 2022 to be in the range of 11% to 15%, translating to approximately $19.5 million of revenue at the mid-point. We are still seeing strong customer demand in the U.S. for our differentiated technologies, and I will reiterate what Sean mentioned. We have -- we are very optimistic on our long-term outlook based on what we hear from customers. At this point, I'd like to turn the call back to Sean for closing comments.
Sean Mackay: Thanks, John. Overall, I am thankful to our team for working hard to drive growth while we've been significantly reducing cost and resources throughout the organization. None of the exciting solutions for our customers would be possible without the team. We believe our IsoCode and CodePlex Q solutions, delivered on the same IsoSpark system are going to really change our customer's life for the better. Ease of workflow for a changing lab environment, large immune signatures to avoid the pitfalls of the bias inherent in typical low-plex analysis, and delivering quality in detection of the immune response. We look forward to continuing to create value for the translational medicine ecosystem as we move ahead. And with that, we will now open it up to questions.
Operator: Thank you. [Operator Instructions]. One moment for our first question. And it comes from Vijay Kumar with Evercore ISI. Please go ahead.
Jordan Adler: Hey guys, this is Jordan. Thanks for taking my questions. You were talking about strong customer demand in the United States. I was wondering if you could maybe talk about what you're seeing in the other parts of the world like China and Europe. Kind of just what you're seeing from demand and any potential headwinds going into next year. Thanks.
Sean Mackay: Hey Jordan, it's Sean. So I think what you are asking is how is the -- how are we seeing demand distributed across the various regions. So yes, we did see strong demand in the U.S. That's the vast majority of what you saw in the growth from this quarter. For us, a lot of that comes from essentially the differentiation of our immune signature. I know you guys heard the numbers a lot of our existing customers repurchasing or purchasing more instruments. So I think that's exciting from a validation perspective. Europe was difficult for us. I think there's a number of reasons for that. But it's just -- I think as John alluded to, there's just some financial pressures, which I think across the Board have made purchasing high technology equipment less of a priority and just price-wise. For us, APAC, I think -- look, our APAC teams working really hard. We're excited about -- there seems to be some light at the end of the tunnel in terms of demand. There's obviously been more opportunity, I think, in Q4, for people to sort of travel around, get to customers and to sell instruments, frankly, right. And I think from our perspective, as well what we're seeing now, is just a bit more ability to leverage the consumables in APAC, just based on having a more devoted FAS team out there. So I hope that helps in sort of illustrating just distribution wise what we're seeing across the world.
Jordan Adler: Definitely. I appreciate it. And maybe one more. Could you talk about the dynamic, kind of what you're hearing from your customers between Duomic and CodePlex? Last earnings call, you spoke about difficult market timing and competition with the Duomic launch. So just kind of wanted to see where you guys were at as far as the Duomic launch timeline. And also what your margin assumptions are for CodePlex and when you're expecting to see an overall impact on the company margins.
Sean Mackay: Okay. Sorry. I missed -- maybe it's our connection. I think I heard most of it, so I'm going to try to answer most of it. We'll start with CodePlex, right. So if you just think about why CodePlex and the CodePlex Q, as we're terming it, it is a focus for the organization. So maybe a couple of things. I highlighted, it became obvious to us that there is a really important need in the proteomics market for something we're terming to be a large signature readout, right, multiplexed and that -- I think in the field they call it mid-multiplex. But let's call it that large signature readout, 20, 30 plex, things like this but with a fully, really effortlessly automated workflow. We had a lot of our own team who was -- as they developed single-cell assays over the years, was essentially leveraging existing bead-based multiplex systems out there like Luminex or other systems to essentially validate or understand how to do stimulations and basic things like this before we ran the IsoCode. And it was just -- it's just difficult, right. It's just difficult for them to do the workflow. It's -- there's all these sort of, let's call it collateral damage when it's like difficult to do workflow and there's heavy training involved. And we started just using our barcoding system, the original barcoding system we brought in from these universities. And they were just like, wow; this is like super easy to use when put on our existing systems, the Spark and the IsoLight. And we just kept using it more internally. And we're not that different from our own customers, right, like we just recognized there's a huge opportunity, right, and it was worthwhile to create its own product line for it. And what we did was we validated it tremendously, right, over the -- let's call it the couple of years; we had an early access version. The difference between the early access version and the full-fledged version is you can do about 30 wells and 30 samples in singlicate. And now with our CodePlex Q, you're going to be able to do per run 80 wells or 80 samples in triplicate, first product, right. And soon thereafter, you're going to be able to do 120 wells per run in triplicate. That's going to be probably the middle of next year. And that's super exciting for not only us, not only us to be able to do these optimization assays, but all of our customers who run supernatant and who run serum and things like this. So it's a big market for that type of technology. If you just think about the state of affairs right now, it's -- just think about it from the customer perspective. It's hard to retain trained labor. And if something is super difficult to use, or just takes a full day of hands-on time, you can free that up to something that's pipette and go and still get quality data out of that, that's a super exciting proposition. And we're the only company, period, you can look at the landscape, that offers the large signature multiplexing and the fully automated ease of use. And that's just a totally big value prop. I think the second thing that we shared with our 302-person survey, it's kind of obvious when you think about we're in more of a value world right now. But people said they'd pay much more for a system and it's much easier to justify the purchase if you have the CodePlex Q and the -- if you had the CodePlex platform and the IsoCode platform in one. And that's what we're delivering on the Spark, right. So why are we excited about the launch? I think we're excited about because we used it forever, right, for a long time internally. We love the data. Customers love the data, right. It's sensitive. It's, as we've termed it, it's quality, quantitative and quick. And it's two-in-one, right. It just helps. Honestly, even customers knowing that this is coming is helpful for Spark purchases because people realize they're going to get a lot more value out of it. So that's the deal on CodePlex Q and how we see that progressing. So you touched on Duomic. Look, we've taken that Duomic team now down to a very small; we call it a skeleton crew for developing Duomic, right. And we still get a lot of customer calls on it. We always want to reiterate when that data comes out, people worked hard on the data. We presented at three conferences. It's really cool. It's the first time it's ever been seen, right. There's nothing out there that's been able to look at the protein cytokine signatures from cells. And then tell us why is that happening from the genes from the same single-cell? Immune cells are very plastic. They're very different. People want this type of data to connect the dots that have never been connected. It was just -- honestly, we didn't -- when we had to do our RIF, we had to -- as we talked about, we took down 37% of our OpEx. We couldn't build a whole arm commercially to do the sequencing sales required here and compete in that market even if we had an awesome differentiated product. So we're still going to release it. The product release plan for later 2023 is exactly what we're talking about with CodePlex. IsoSpark does the IsoCode system. That system is becoming a mainstay, which we talked about during the earnings call. We have CodePlex Q on top of that. Super exciting, right, to offer in one system. Duomic's also going to come out on the IsoSpark. And based on some products, progress we made in this match barcoding, which basically is the underlying way to increase cell throughput, we feel it's going to be an exciting product, and it's going to meet the sort of, I guess, some of the hype that came out during these conferences previously. So that's how we're thinking about it. We're just trying to like deliver customer demand with the financial resources that we have. So I hope that helps. I think, Jordan -- it's Jordan on the line, right?
Operator: Thank you. One moment for our next question, please. And it comes from the line of Max Masucci with Cowen.
Joe Giordano: Hey, this is Joe on for Max. Can you just speak to the incremental headwinds you're seeing this quarter versus last that led to the latest revenue guide? And what's giving you the confidence to step revenue up in Q4, implied?
Sean Mackay: Yes. I mean we went over this last quarter a bit, I think to your question. And what our core response was is we continue to see our customers purchasing, of course. I guess I think just to reiterate, we grew revenue by 7% with OpEx sort of down 37%, right. So like, obviously that's being driven by the customer because we're still reducing operating expenditure just to come into the realities of what the capital markets are. And that's also in the face of, let's say, a strong U.S. and some difficulties for emerging companies in Europe especially, but in the APAC, just because you don't have the full benefits of, let's call it, a larger force and a larger distribution network of some of these larger companies. And I think we've always -- and you can look back across our Q4s, we've always seen what we see in the pipeline now is biotech and biopharma who have budget, who are considering purchasing. And typically, you get a lot of repeat users during Q4. That helps. I think we've already started to see a slew of purchase orders from the academic world, right. So some of that's just pipeline building in Q3 that carried over to Q4. And I think, frankly, like one initiative that our finance team and our sales operations team really started in earnest at the end of Q2 as we turned over our new leaf was getting more and more and more customers to pay for service contracts. So you're starting to see that. And that's in the service contract annuity. You're starting to see that play out in that service line. So I think all in, that sort of set of factors is why we feel confident in the numbers we just put out, if that's kind of the core question. Is that John on the line?
Joe Giordano: Joe.
Sean Mackay: Joe.
Joe Giordano: But yes, for sure, that answers it. Hey, excellent. And then, just maybe your latest thoughts around the 40% consumables growth in 2022 that you talked about last quarter.
Sean Mackay: So what I'll say for consumables growth is like this is our best consumable quarter ever. I think I'm reiterating what John said on the call. A lot of what we're seeing is maybe a few things, right. So there's a concentration where we have, on an annualized basis, customers that are spending over a couple hundred K on pull-through, right. And we see kind of 50% of our year-to-date consumable use concentrating in maybe less than quarter of our installed base. So like there's a lot of concentration. It ends up, as you can guess, being between pharma and biotech where we feel like we're pretty good at driving throughput at least in the United States. Maybe a couple of things we think about. We have not been -- as we've expanded throughout the world, and there's been more and more customer interest in our systems, just from a coverage perspective and a resources perspective, this year, obviously as you guys have seen, like we've been able to hit in previous years like 38,000, 39,000 pull-through. We've had trouble keeping up with that installed base just coverage wise, right. And that's just a function of resources. It's not a function of the heavy demand we're seeing in a concentrated set of users in the United States. So what we're thinking about is, one, always trying to get out there and tell customers our stories and all the high velocity of publications and all the key killer applications we have on our system. I think two, we're going to really -- especially internationally, but just around the world, continue to really think thoughtfully about partnering distribution wise to increase our coverage, right, to touch the customers and really hear the customers on a more regular basis. But what I'd say is that our team is working real hard with who we have to make that happen. We're also going to continue to invest in sales and FAS headcount. That's somewhere where we're going to continue to invest because obviously it pays dividends. So I think that's kind of -- at least that indicates where our heads are and where our customers' heads are on consumables.
Joe Giordano: Great. And then, just lastly on the RIF. There are some really nice expense reduction in the quarter. Are you feeling good about where the organization stands today in terms of numbers? And do you think there's a level that you guys can start really humming and progressing at going forward?
Sean Mackay: I'd say this. One, so the team worked hard, right, taking those OpEx and headcount 37% down, 40% down. So that -- to basically digest that is not an easy thing. And then, to be able to like progress CodePlex Q to progress some of these throughput tools on IsoCode to grow revenue, that’s not easy stuff. We feel -- look, I mean there's two things. We feel great about the team we have, right. We feel, honestly, just there's some confidence level going into pipeline building on the commercial side. Yes. At the same time, our finance team is working on any way to reduce basically ongoing OpEx, while trying to preserve headcount as much as possible. Maybe what I can do is pass it to John just a little bit on ways that we're thinking about -- we've already actually implemented some of these operating expenditure reductions that you can't see in Q3 right away. But we are taking our base down so that we can further reduce that OpEx. And frankly like focus -- with a focus on cash, reduce cash OpEx. Because some of the, what you see in our OpEx is obviously a large amount of DNA coming from a previous IP acquisition and some of these other things. So John, do you want to just sort of highlight some of the things we're thinking about?
John Strahley: Sure. And Joe, maybe to segway from what our OpEx was for Q3 into our expectation for the $17 million run rate by the end of this year, and it's largely non-payroll OpEx. So Sean talked about a couple of things. If you go back to -- that we continue to execute on, if you go back to April when we talked about the reorg and the reduction in force, software licenses, things like that, we've continued to renegotiate, renew at lower rates, and we'll start to see the benefit of some of that in Q4. D&O is one I'll throw out there. We just went through renewals, so we would have a substantial savings there. So we'll start to see that in the fourth quarter. And the other thing I'll mention is just the continued transition from more of a reliance on third-party service providers to actually providing those services internally. And Sean talked about the talented team we have, fulfilling those services internally. So all of that creates a more productive and lean and efficient organization.
Operator: Thank you. One moment for our next question. And it comes from the line of Puneet Souda with SVB Securities. Please go ahead.
Michael Jones: Hi, you have Michael on for Puneet. Thank you for taking my question. My first question has to do with the gross margin. I'm just kind of wondering what the driver was for the sequential step-down. I know you mentioned the strength in consumables, and obviously we'd expect that to help lift margins. So I'm just wondering if there was any sort of other dynamic that we should keep in mind.
Sean Mackay: Yes. It's actually not COGS in this case. I mean like I think we -- John highlighted really the strength in us keeping down that COGS. Obviously at the cost of building inventory, but we look at that inventory as an asset. I think part of that was just a slight drop in ASP in Q3. I mean so if you think about where that came from, a couple of those units were really exciting partnerships that we're dealing with people for more collaborative partnerships, which I would call testing the IsoSpark and our systems in various new places and with new applications that are I think just exciting and I can't say much about it because it's confidential. But I think the other side was customers that are buying multiple systems, right, for -- someone will buy a system. It'll be for various sites and various labs. But we saw one enterprise order where there was a discount to the ASP across; I believe it was four units in purchase orders from the same customer. And I think that's a sign of strength, while at the same time, of course, there is negotiation and there's some slight hit to the ASP. But if you think of even small hits to the ASP does drive that reduction in GM. And so we view that as just the nature of sort of the number of or the N that we sell across our installed base. John, do you want to add anything to that?
John Strahley: Yes. Just maybe just to quantify a little bit, I mean that ASP differential in Q3 accounted for about 200 basis points in margin. So just if you think about that as really accounting for that sequential decrease and just as we go-forward, so talking about ASP, really maintaining a focus internally and in our daily sales activity and across the commercial team and maintaining our targeted ASP. We've talked quite a bit about a reduction in COGS, which we'll start to see incremental improvement next year from our consumable business. And the last thing I'll say is we mentioned the service contracts. We've increased our run rate going forward on those contracts and highly profitable and gives us confidence about our gross margin expansion plan going forward.
Michael Jones: Okay. Great. Thanks. And then I was wondering if you could offer any color about what you're thinking about growth next year. So obviously, this year is kind of a base reset. Any early thoughts on what 2023 might look?
Sean Mackay: Yes, think about it this way. Like you said, this year has been kind of an eventful year for all of us for various reasons. But as we got leaner and as we got more conviction about our CodePlex Q product, we feel good about the early feedback on how selling the IsoSpark systems with IsoCode and CodePlex Q really plays to our existing customers, but also to a range of new customers who have been waiting for solutions like this. We're not providing necessarily any guidance for 2023. It's just not kind of -- I know you guys want to adjust your models and things, but it's not what we're doing on this call. I think there's still more to learn. We're having lots of voice of customer around the product improvements that we have on IsoCode as well as the IsoSpark enhancement by now being able to sell CodePlex Q and IsoCode in the same system. So just more to learn from that. And also just more to think about as we -- I think as we mentioned, especially internationally, continue to think through these distribution partnerships and what does that mean for us. And I think from an OpEx perspective, that's sort of the revenue side. We're excited about the year. We just don't want to give a number at this point. I think from the OpEx perspective, we're really focused on, I think as John mentioned, proving out throughout the year that we're on a path to EBITDA positive. That's just what we're thinking about, right. So how do we do that? It's the various levers we talked about. It's getting super-efficient and productive with our commercial team. It's not -- being very prudent about how we use expenditures, as John said, for software licenses. And there's just a lot around the edges that we spend money on. And really just, again, being efficient in development and in our operations as well to improve those gross margins while we at the same time as we're improving productivity. And we have a tremendous amount of initiatives to increase automation, improve automation and the like around our consumables. So that's how we look at it. It's like we're not prepared. And there's going to be -- we think there's going to be some excitement around Duomic at the end of the year. But again, that benefits the Spark and that benefits something we kind of already know and already trust and the customers already trust. So that's the way we're looking at it right now.
Michael Jones: Great. And if I could just squeeze one more about the service revenue. I was wondering if you have any, I guess, analyses on if service can be sort of a leading indicator to eventual instrument install adoption by customers. As you do work for them in your own lab, they'll eventually bring it to their lab. I'm not sure if you have any comments there.
Sean Mackay: Service has always been -- our service team and our applications team, which combine into the sort of service offering, has just always been an amazing funnel for us to produce instruments out there in the field. Even in Q4 it's been the same thing, right, like and we expect that to continue. We -- what we've also seen historically is one reason we're choosing to emphasize service business is win a pharma, right, sort of invest in a service contract in which we add many with pharmas. A lot of times, that cross pollinates, right, with other aspects of the pharma that aren't as virtual in nature, that do run their own labs, right, and that do want instrumentation that's relatively easy to use, but also delivers this differentiated, large signature immune data from single-cells and now from bulk. So we're always going to use that as a driver to help drive instrumentation purchases.
Operator: Thank you. One moment for our next question. And it comes from the line of Tejas Savant with Morgan Stanley. Please proceed.
Edmund Tu: Hey, good morning, guys. This is Edmund on for Tejas. Thank you for the question.
Sean Mackay: Hi, Edmond.
Edmund Tu: Hey, good morning. I just wanted to circle back on your strong consumable performance in the quarter. Some of the peers in the space have noted inventory stocking and destocking trends at the customer sites as supply chain pressures start easing slightly. I was wondering if you're starting to see that trend and whether or not you have good visibility there with the connectivity on the instruments.
Sean Mackay: Yes. So it's a little bit -- probably just based on area of use, translational medicine versus like bioprocessing and things like this is just -- I'm not the world's expert on bioprocessing businesses. But for translational medicine, the customers are really -- I would term them more buy and use, if that makes sense, Edmund. And what that produces is basically -- and it's how we drive our consumable strategy. More visibility and when people have, let's say, a blanket order, they're using real time. We leverage our FAS team to understand whether that usage or not has occurred. And we know when, let's say, a full blanket order is going to be fulfilled. We have a lot of those going into Q4. And -- or whether or not it may not be if, for example, there is no usage. So I would say we're -- it's a little bit of a different model for us as far as consumable usage, and that helps us get visibility. Though we do understand the sort of destocking issue or stocking/destocking issue that may or may not be happening in sort of other areas.
Edmund Tu: Got it. And then just to circle back on your 2022 guidance and how you're thinking about 2023. Understanding that you guys don't want to give numbers just yet. But previously, you guys had said that you expect 2022 -- sorry, 2023 -- 2023 growth to be substantially higher than growth rates, the 20% implied this year. And the Street took that as about a 60% year-over-year growth in 2023. So how should we juxtapose these two comments given the new guidance for 2022?
Sean Mackay: I missed a little bit of that. There was some background noise, Edmund, just --
Edmund Tu: Sorry, the phone ringing. So your previous comment of substantially higher growth rates in 2023 versus the 20% implied this year, which is your last guidance. I think the Street took that as about a 60% year-over-year growth in 2023. So now that in light of your new guidance, how should we juxtapose these two things?
Sean Mackay: Yes. No, it's a good question, right. I think if you think about where we go in 2023, a lot of it comes down to, frankly, the understanding of the voice of customer. The conviction on -- this is the first time we're offering just a home run product -- a second home run product on the IsoSpark with the IsoCode. So a lot of it bakes into just, we think it's the perfect timing to release something like this. We're not -- the phased and focused approach is we already know a bunch of customers that have IsoSpark systems that with the robustness, with vast improvement in throughput and all these things are just like; we have a set, a universe in Q1 where we know they're going to want to use CodePlex Q. And I think the phase of push for us is as we work with them, as we demo our CodePlex Q, as they use that system, we're going to be focused on people that honestly like large signature data, but they don't have an easy-to-use, automated pipette and go system, and that's hurting their sort of lab operations. And we're going to be focused on those guys in Q2 and Q3, which are largely starting with IsoCode first, then CodePlex. But as Q3 progresses, its people that are CodePlex first that like the idea of getting IsoCode in the Spark, right. So it's the same immune monitoring type customer base, but it's a slightly different viewpoint from the customer. And we think that's going to drive a lot of growth, right. And we think that also if you think about what happened this year, you guys knew about this. It was difficult to digest, basically, a large reduction in force, and on the commercial team, especially. And then be able to turn it around and drive growth in the same year, which we largely have done so far. So I think, look, I think next year, we're going to just going to be in a better position. We're ready for the -- we're ready to sort of increase the value that we deliver on the IsoSpark system. The IsoSpark is robust and ready to go, right. We use it all the time. It's our -- it's obviously becoming a flagship instrument for us. So I'd say we feel pretty good, but I just can't comment on the exact 2023 numbers. I think as the juxtaposition you talked about is the potential slight decrease in the end of year number relative to where we see it launch. We don't see the -- because we're not launching CodePlex Q at the end of this year. And we're obviously not launching Duomic at the end of this year. Like we don't see those two confounding each other. I hope I'm being sort of helpful.
Edmund Tu: No, I get it. Thank you. And then I was wondering if you guys could provide some more detail on your partnership with MediMergent and the CCBD. It sounds like some of the sample processing here will go into the service line. In that situation, how should we be thinking about the growth of the service line going forward?
Sean Mackay: I think we try to be conservative on the growth of the service line. I think it's -- while this work together has been great, right, with the contract you just mentioned and the team over at MediMergent or the team over at various collaborators involved. We have a pipeline of service contracts. It has not historically been the number one focus of our sales team. It actually became more of a focus of our sales team, as you can imagine, right, and in Q3, and so we compensate based on service sales now. So we're seeing really an increase of the pipeline in Q4. Again, I always want to help, but I can't comment on the growth rate of the service line for 2023. I just think what I -- I told you some qualitative things that we focused on and we recognize if we can compensate it in a fair way to our sales team, that we can see some real services impact in the future.
Operator: Thank you. And with that, I will conclude the Q&A session and program for today. Thank you for your participation. You may now disconnect. Good day.